Operator: Good day, and welcome to the Electromed, Inc. Second Quarter Fiscal Year 2026 Earnings Conference Call. All participants will be in listen-only mode. To withdraw your question, please press star then 2. Please note that this event is being recorded. I would now like to turn the conference over to Mike Cavanaugh, Investor Relations. Please go ahead.
Mike Cavanaugh: Good afternoon, and thank you for joining the Electromed, Inc. earnings call. Earlier today, Electromed, Inc. released financial results for 2026Q2. The press release is currently available on the company's website at www.smartvest.com. Before we get started, I would like to remind everyone that some of the statements that management will make on this call are considered forward-looking statements, including statements about the company's future operating and financial results and plans. Such statements are subject to risks and uncertainties that could cause actual performance or achievements to be materially different from those projected. Any such statements represent management's expectations as of today's date. You should not place any undue reliance on those forward-looking statements, and the company does not undertake any obligation to update or revise forward-looking statements whether as a result of new information, future events, or otherwise. Please refer to the company's SEC filings for further guidance on this matter. Joining me on the call today are Jim Cunniff, Electromed's President and Chief Executive Officer, and Brad Nagel, Chief Financial Officer. As on previous calls, Jim will provide operational highlights from the quarter, Brad will then review the financials, and we will close with a question and answer session. With that, I will now turn the call over to Jim Cunniff, President and Chief Executive Officer of Electromed, Inc.
Jim Cunniff: Good afternoon, everyone, and thank you for joining our call today. I'm thrilled to share impressive results for the quarter ended December 31, 2025. Before diving into the numbers, I'm excited to announce that this marks our thirteenth consecutive quarter of year-over-year revenue and profit growth. An achievement that showcases the strength of our business model and the growing recognition of our best-in-class SmartVest airway clearance solution. Let me now share some of our financial highlights for fiscal Q2. We achieved record revenue of $18.9 million, representing robust 16.3% year-over-year growth compared to the same period last year. Growth in the quarter was powered by consistently strong performance in our core Home Care business, which surged 18.4% year-over-year, and our distributor channel, which delivered a 12.1% increase year-over-year. These results reflect the effectiveness of our sales strategy and growing demand from our valued home medical equipment partners. The hospital channel experienced a 9.4% year-over-year decline in the quarter due to strategic prioritization of shipments to high-demand home patients and the unpredictable timing of capital orders. We believe hospital demand will rebound in the coming quarters. Complementing our top-line growth, operating income of $3 million in the quarter represented a stout growth rate of 42.4% year-over-year. Operating income as a percentage of sales reached an impressive 19% as we continue to deliver operating leverage with earnings per share of $0.32 on a fully diluted basis compared to $0.22 per share in 2025. Our balance sheet continues to be strong with $13.8 million in cash on hand and no debt. As previously reported, our board approved a $10 million stock repurchase authorization in Q1, reflecting our confidence in Electromed, Inc.'s future and our commitment to delivering shareholder value. Now let me highlight our strategic initiatives and market opportunities. As most of you know, the primary strategic opportunity for Electromed, Inc. lies in addressing the vastly underserved bronchiectasis market. Today, approximately 923,000 patients in the United States are diagnosed with bronchiectasis. Yet only 16% are currently benefiting from high-frequency chest wall oscillation therapy. This presents an incredible untapped opportunity to help nearly 800,000 diagnosed patients who could experience life-changing benefits from our SmartVest system. Even more exciting, it is estimated that there may be over 4 million additional individuals with undiagnosed bronchiectasis, highlighting the tremendous need for education and raising awareness of the massive health problem that is bronchiectasis. To seize this opportunity, in calendar 2025, we successfully launched our innovative "Triple Down on Bronchiectasis" campaign promoting a powerful three-pronged treatment paradigm. Number one, clear airways first with SmartVest to effectively remove mucus, which is the fuel for future infections. Second, treat the patient's infections with antibiotics. And third, help reduce inflammation. This three-pronged approach helps break the vicious vortex where chronic infection, persistent inflammation, and damaged airways continuously worsen, leading to progressive lung disease and reduced quality of life for patients. We continue to pursue additional opportunities to raise awareness. During Q2, our marketing team participated in three national trade shows, numerous regional pulmonary medical events, and co-promoted three virtual continuing education units hosted by respiratory associates and attended by 655 individuals to showcase our technology and reinforce the critical importance of airway clearance and bronchiectasis management. We also completed an important manuscript based on data from the NTM Bronchiectasis Research Registry, which revealed that 58% of qualifying patients were not prescribed HFCWO therapy despite meeting clinical criteria, even though they were significantly sicker than those who didn't meet criteria. This represents a clear near-term opportunity for early intervention, and our dedicated team is making excellent progress in closing this gap. Moreover, to expand the ability for patients to benefit from our technology, we executed 25 payer contracts in the first half of our fiscal year and added 2.9 million covered lives to the over 270 million covered lives we currently have under contract who could benefit from SmartVest. To help capitalize on our marketing efforts, we continue to strengthen our highly productive sales organization. We now have 58 talented direct sales representatives. Our plan is to expand this number to 61 representatives by the end of this fiscal year. Adding sales reps is a key component of our growth strategy and will enable us to reach more clinicians and patients with our innovative technology. We're also making tremendous progress implementing our Smart Order e-prescribe solution, which is improving how prescribing clinics submit orders to our fulfillment team. As I've mentioned on past calls, this digital solution replaces outdated fax-based processes, providing complete prescription documentation that enables us to deliver SmartVest to patients faster and improves a clinic's workflow. In Q2, over one-third of the orders we received came through this platform, a testament to the platform's value. The CRM system we launched in Q1 is already delivering fantastic benefits, including improved field sales productivity, enhanced market insights, and seamless communication with our fulfillment team. All of this results in improved sales productivity and a better patient experience through faster and more efficient order fulfillment. We also successfully completed and implemented our manufacturing optimization plan at the beginning of this fiscal year. Specifically, we redesigned our manufacturing layout to improve production efficiency and provide ample capacity to support our future growth. And speaking of manufacturing, I'm incredibly proud to emphasize that Electromed, Inc. is a US-based company with all of our operations and product assembly located in the US. Moreover, 99% of our net revenues are generated domestically. This positions us to maintain our track record of on-time delivery to customers while sustaining our mid-70% or better gross margins. Tariffs continue to be in the news, and we remain vigilant about potential challenges with our primarily domestic suppliers who may have tariff exposure within their upstream supply chains. We're confident that our U.S.-centric operations help shelter us from the impact of tariffs and provide us with a competitive advantage. In conclusion, our Q2 results demonstrate that Electromed, Inc. continues to perform extremely well in our growth strategy. We're rapidly expanding our market reach, enhancing operational capacity, and delivering outstanding financial performance, all while helping patients breathe easier and enjoy an improved quality of life. With that, I'd like to turn the call over to Brad Nagel for a review of our financials. Brad, over to you.
Brad Nagel: Thanks, Jim. All amounts I'm about to discuss are for the three months ended December 31, 2025, or Q2 fiscal year 2026, and compared to the three months ended December 31, 2024, or Q2 fiscal year 2025. Net revenues grew 16.3% to $18.9 million, up from $16.3 million. Revenue in our direct home care business increased by 18.4% to $17.3 million, up from $14.6 million. The increase in revenue was primarily due to an increase in direct sales and higher net revenues per sales representative. Throughout Q2, we averaged 58 home care direct field sales representatives. The annualized home care revenue per weighted average direct sales representative in Q2 was $1.2 million, exceeding Electromed, Inc.'s target range of $1 million to $1.1 million per rep. Non-home care revenue was $1.6 million. Home care distributor revenue grew 12.1%, totaling $900,000 for the quarter. Hospital revenue of $700,000 decreased 9.4%, and other revenue of $100,000 declined 52.3%. Gross profit increased year-over-year to $14.8 million or 78.4% of net revenues from $12.6 million or 77.7% of net revenues. The increases in gross profit dollars and gross profit percentage were primarily a result of increased overall revenue and higher net revenues per device. Selling, general, and administrative or SG&A expenses were $10.8 million, representing an increase of $1 million or 10%. The increase in the current period was primarily due to increased salaries and incentive compensation related to the higher average number of sales headcount and higher overall compensation cost. Operating income was $3.6 million or 19.2% of net revenues compared to $2.5 million or 15.6% of net revenues. The 42.4% increase in operating income was primarily due to the increases in revenue and gross profit. Net income increased by 40.3% to $2.8 million or $0.32 per diluted share compared to $2 million or $0.22 per diluted share. As of December 31, 2025, Electromed, Inc. had $13.8 million in cash, $26.3 million in accounts receivable, and no debt, achieving a working capital of $36.2 million and total shareholders' equity of $45.4 million. The cash balance reflects a decrease of $1.5 million for the six months ended December 31, 2025, compared to an increase in cash of $200,000 in the six months ended December 31, 2024. The decrease in cash for the six months ended December 31, 2025, was driven primarily by $3.2 million of positive operating cash flow, offset by share repurchases of $3.8 million of Electromed, Inc. common stock. In conclusion, we're excited by the strong performance in the first half of our fiscal year and continue to see opportunities to deliver on our objectives of double-digit top-line growth and expanded operating leverage, both in the coming quarters and full fiscal year 2026. With that, we'd like to move to the Q&A portion of the call. Operator, please open the call to questions.
Operator: We will now begin the question and answer session. To ask a question, you may press star then 1 on your touch-tone phone. If you're using a speakerphone, please pick up your handset before pressing the keys. If at any time your question has been addressed and you would like to withdraw your question, please press star then 2. At this time, we will pause momentarily to assemble our roster. The first question today comes from Kyle Bauser with ROTH Capital. Please go ahead.
Kyle Bauser: Hi, Jim and Brad. Great results here. And thanks for taking my question. Maybe first, it looks like the home care Medicare segment was particularly strong this quarter, up significantly sequentially. Anything to call out here?
Jim Cunniff: No. I think, you know, we're just really executing on our strategy, Kyle. And thanks for the question, by the way. You know, we've, as you know, improved our sales force over time, and I think we're starting to see the results relative to our revenue in the home care segment. I would also tell you that, you know, as we discussed on previous calls, there's just a lot more awareness about bronchiectasis in the space. And a consequence of that is I think that more of the prescribing physicians are starting to identify patients who could benefit from high-frequency chest wall oscillation technology. And, when you couple, you know, our sales reps calling on those accounts, helping to identify patients who could benefit from our technology, and our clinician base that I think is more attuned that some of their patients might have bronchiectasis. It's kind of a winning combination. And, yeah. So we feel great about our results really for not only Q2 of this year but really for the first half of this year as well.
Kyle Bauser: Yep. Got it. Makes sense. And related to that, in terms of building awareness around bronchiectasis, you know, as you know, Brent Supri sales in the first full quarter were $145 million, which is pretty remarkable. I think one of the best launches in the respiratory space ever. Can you talk a little bit about how this is impacting your business and helping to kind of build awareness around HFCWO?
Jim Cunniff: That's a great question. And I think everybody was wondering what was the impact of bransupri when it got launched on this space because it's the first drug that's been approved by the FDA to treat bronchiectasis. But the way we look at it is it's really an adjunct to airway clearance. You know, as you know, Kyle, you know, if you have bronchiectasis, unfortunately, it's chronic. It's irreversible. And part of the challenge that these patients have is that they have mucus that builds up within their airways, and they need to relieve that mucus. And the drug, brensoapri, for those on the call who aren't familiar with it, is really to address part of that vicious vortex, which is inflammation. But again, once you have bronchiectasis, it's chronic and it's irreversible. And you need to have something to clear the airways. And that's really where SmartVest comes into play. So our perspective is that, you know, they've done a terrific job in educating and bringing awareness to this horrible disease. And a consequence, as you mentioned in your question, you know, they had an incredible Q4 on their drug. But so did we. So we feel like, you know, the story we've been telling around this being complementary is really starting to play out in the results.
Kyle Bauser: Got it. And I think you mentioned in your prepared remarks, registry data showing 58% of patients who qualify for HFCWO therapy not receiving it. So those who have had a CT scan or and daily productive cough for six months and tried and failed something else. That haven't been prescribed. In your sense, given the new drug that hit the market, do you think more people are being properly diagnosed? Or do you think, you know, for bronchiectasis or are the people who are being diagnosed being properly fitted for that? Or is it a combination? Just trying to understand, you know, how this could impact kind of usage of HFCWO, you know, across the industry.
Jim Cunniff: I think you've nailed it. I think, you know, one of the challenges has been for this patient population is all of the reimbursement criteria that you just outlined, you know, daily productive cough, CT scan, tried and failed, something else. I think part of the challenge has been not only, a, the awareness of bronchiectasis as a disease, and, you know, identifying that with the patients, as you mentioned, Kyle, but also getting on the technology sooner in that patient's clinical journey versus later. And that 58% that I referenced in our notes really speaks to the fact that here's a cohort of, you know, this is a study that was retrospectively done on over 5,000 patients, and, you know, these patients had bronchiectasis, but yet they and they met treatment guidelines. But yet they weren't given the technology. And so, you know, part of our job and part of what we're gonna be promoting, you know, with our clinicians is those results because I think it'll illuminate the opportunity for us to get more patients on our technology sooner rather than later.
Kyle Bauser: Got it. And then maybe just one more. I think you, let's see. If you average 58 home care direct reps, and I think that's across 61 territories. Correct me if I'm wrong. But is 61 still a good number? And, you know, how do you envision this trending?
Jim Cunniff: Yeah. Yeah. Yeah. I think we had just an outstanding quarter relative to our productivity, you know, $1.2 million per rep on an annualized basis. As we get to 61 reps, and you're correct, that's what we're promoting for this fiscal year. I think our productivity per rep is gonna probably mediate within that million to million 1 that we've been guiding on. Because, obviously, when you hire a new rep, we've gotta train them. They've gotta come up to speed in the market. They've gotta build relationships. And so, you know, there's always a lag in that productivity when that happens. And the math will just pour out that I, you know, we feel very comfortable staying within that million to million one for our sales rep productivity, which is a vast improvement. Kyle, you've been covering us for quite some time. From where we were, you know, even several years ago.
Kyle Bauser: Yes. Agreed. And it's been impressive. So congrats again on the results. And thanks for taking my question.
Jim Cunniff: Thank you so much. Appreciate it.
Operator: The next question comes from Ben Haynor with Lake Street Capital Markets. Please go ahead.
Ben Haynor: Good afternoon, gentlemen. Thanks for taking the questions. First off, for me, just following up on the rep productivity. I mean, obviously, $1.2 million was quite a performance. But as you do go to, you know, 61 reps, I mean, that's, you know, 5% growth of the rep headcount, is there a reason why we should expect, you know, more than 5% decline from the $1.2 million level to, you get down into that million to million 1, or is it, you know, just an area that you're more comfortable at the moment?
Brad Nagel: Yeah. Thanks for the question, Ben. And, yes, there are a number of factors that play into that productivity rep. And one of Kyle's questions kinda hit on it. We see things like our payer mix that can impact the amount of revenue that we get per referral, that can drive that number up a little bit more. So in a quarter like Q2 where we saw higher growth in Medicare, which is our sort of top payer value, we'll see a bit higher rep productivity. Obviously, on the efficiency side, we've talked a lot about the fact that we haven't implemented the CRM, and we do wanna continue to lean into those gains that we've gotten from the system and continue to see the efficiency out of the rep. But some of those pricing dynamics can factor in too, which is why we continue to guide to the million to million one per rep.
Ben Haynor: Okay. Got it. And then, you know, just kinda on the mix, I mean, you've seen fantastic growth really the first half of the fiscal year amongst government payers. Is there anything relative to commercial payers? I mean, it looks like, you know, just eyeballing it, you know, twice or even three times the rate. Is there anything special that's kind of occurred with commercial payers or government payers that is worth highlighting?
Brad Nagel: Not really. So, obviously, when we're out selling, we are not looking for a payer mix as we're selling. We're out there trying to drive referrals. And we've seen over time there's volatility there. Sometimes the Medicare is growing a bit faster. Sometimes those commercial payers are growing faster, but there aren't significant trends that we would point to, looking forward. To continue to see sort of outsized growth from one versus the other, as we look out at the coming quarters.
Jim Cunniff: I think the only thing I would add to that, Ben, is the fact that, you know, in our prepared remarks, we indicated that we executed 25 contracts, and those contracts are with private pay. And, you know, that's gonna add about 2.9 million potential patients to our roster. Now not every one of them obviously has bronchiectasis, but, you know, in areas where we haven't had payer coverage in the past, as Brad had mentioned, you know, our sales reps are really focused on identifying patients who have this disease, who could benefit from our technology. And it's, you know, it's challenging when we get a referral for those patients, but they're out of network. And so, you know, our opportunity is really to see if we can close that gap where we are out of network so that we can get more patients on the technology sooner rather than later.
Ben Haynor: That makes sense. I mean, obviously, going back a couple of few quarters, it was the other way where commercial is growing faster than the government pay. And then lastly for me, just curious on how often the share buyback, sizing, and rapidity of repurchase gets kind of revisited by the board.
Brad Nagel: Yeah. So if you look back at what we did last year, we authorized two separate tranches of $5 million over the course of the year. But really, we saw the full $10 million get repurchased fairly evenly over the course of the year, a little bit of volatility quarter to quarter. And the same is true this year. We authorized the full $10 million in Q1 and are always continuing to monitor both our cash position, the pricing of the shares, and looking at an opportunistic way to make sure that we're getting the most value for our cash and for our shareholders.
Ben Haynor: So with the five and five last year, should we expect ten and ten this year?
Brad Nagel: Yeah. So we did authorize $10 million at the beginning of this year.
Ben Haynor: But that's open at coming after the June. Right?
Brad Nagel: We can't promise that. Again, we're always looking at our options for uses of cash, but excited to be in our second year where we've authorized another $10 million this year.
Ben Haynor: Okay. Great. Well, thanks for taking the questions, guys, and congrats on the quarter.
Jim Cunniff: Thanks, Ben. Appreciate it.
Operator: This concludes our question and answer session. I would like to turn the conference back to Jim Cunniff for any closing remarks.
Jim Cunniff: Well, thank you all for joining us today as we conclude our fiscal 2026 second quarter earnings call. I want to emphasize how truly excited I am about Electromed, Inc.'s trajectory and prospects. We delivered our thirteenth consecutive quarter of year-over-year revenue and profit growth and improved operating leverage. Our strategic initiatives are yielding excellent results as we address a large underserved population of BE patients in the United States. With $13.8 million in cash, zero debt, and our stock repurchase authorization, we're not just investing in growth, but also delivering value to our shareholders. I want to thank our exceptional team for their dedication, our customers for their trust, and our shareholders for their continued support. Look forward to building on our momentum in the quarters ahead. Thank you, everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.